Operator: Good day, and welcome to the Watsco First Quarter 2020 Earnings Conference Call. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Albert Nahmad, CEO. Please go ahead.
Albert Nahmad: Good morning, everyone. Welcome to the first quarter earnings call. This is Al Nahmad, Chairman and CEO. With me is A.J. Nahmad, President; Paul Johnston, Executive Vice President; and Barry Logan, Executive Vice President.  Now before we start, our cautionary statement. This conference call has forward-looking statements as defined by the SEC laws and regulations that are made pursuant to the safe harbor provisions of these various laws. Ultimate results may differ materially from the forward-looking statements.  Once again, good morning. I hope you and your families are healthy and getting through this period safely. Today's press release speaks to Watsco's strength and innovative spirit. These are attributes that we believe will bring comfort and confidence to our employees, our customers, OEM partners and our shareholders.  As we highlight in our press release, Watsco's financial strength is our most important attribute. Our philosophy of maintaining a strong balance sheet, low debt levels and ongoing access to capital is a significant advantage for us as we work through the impact of the pandemic.  We are well positioned to support our customers, employees and OEM partners while actively looking to invest in expanded product offerings, new locations and acquisitions to benefit our long term. Our ability to generate consistent cash flow also represents an important strength. Next week's scheduled dividends, which reflects an 11% increase, signals our confidence in our business.  We also operate in a great industry as HVAC products are fundamental necessities in homes and businesses. Local authorities in our markets have deemed our industry as essential. Our branches are open, providing needed products and services to our contractor customers. Watsco's technology team has also accomplished a lot in recent weeks, and adoption of our tech platforms is rapidly expanding.  In terms of day-to-day activities, our leaders took immediate actions in response to the pandemic. In many cases, in less than 48 hours. For example, branch locations were quickly transformed from retail walk-in showrooms to no-touch e-commerce curbside pickup centers. These changes have been well received, and our customers are asking us to sustain these services going forward. As to growth in investment, we remain in touch with great companies, knowing it's an opportune time for them to join the Watsco family. Our resources can help them grow and develop scale, and we can provide access to our great technology platforms.  In terms of results for the first quarter, sales growth was driven by strength in U.S. markets for residential HVAC equipment, which grew 5%. Sales and earnings in international markets declined due to softer market conditions and strong comparable results. Results also reflect 35 new locations, mostly from acquisitions completed in 2009 -- I'm sorry, 2019, including Peirce-Phelps, DASCO Supply and N&S Supply. These companies come with great leaders who are now part of our culture and team and are responding to current events in their respective markets.  Further analysis of our financial results are provided in our press release. I will not recite these details in my prepared remarks, but we will be happy to provide more color during the Q&A.  With that, A.J., Barry, Paul and I are happy to answer your questions.
Operator: [Operator Instructions]. The first question today comes from Josh Pokrzywinski of Morgan Stanley.
Joshua Pokrzywinski: So appreciate that visibility is kind of tempered right now. But a couple of questions that I just want to make sure that, to the extent that you don't really have a ton of visibility, maybe you can still answer. I guess, first, have you seen any change in consumer behavior vis-a-vis trading down in efficiency or more repair versus replace? Anything that would give you an indication of, hey, people are still spending money, but under the surface, there's a couple of changes afoot. Has that shown up? Have you gotten that anecdotal feedback yet?
Albert Nahmad: Well, our data expert, Paul Johnston.
Paul Johnston: In the first quarter, we really didn't see it. We had a pretty good balance between system sales as opposed to just an outdoor replacement. Perhaps anecdotally, we'll see a little bit more of a repair or just replace the outdoor unit in the second quarter perhaps. Really, we're not at the consumer level. But what we hear from our contractors is regular checkups and service calls that don't require repair are pretty much being pushed out right now. Consumers aren't looking for someone to be in their home.
Joshua Pokrzywinski: Got it. Which would be more of a social distancing comment? Not a like, "Hey, I ran out of money" comment?
Paul Johnston: Correct.
Albert Nahmad: But we also have a very effective consumer finance program that would help at such a thing, if it should come to that.
Paul Johnston: Yes.
Joshua Pokrzywinski: Got it. And then I guess, I'll leave some of the other kind of near-term or macro questions to some of the other folks. But maybe to turn away from COVID for a second. Obviously, one of your major equipment partners is now kind of liberated from their multi-industry owner. What have been kind of the early changes, observations, engagement actions that you guys have seen with Carrier now?
Albert Nahmad: Well, first, it was good news that they separated. They can be focused on our industry, and they are. They're very well led. They're very responsive. I think it's all great news going forward. I couldn't be happier.
Joshua Pokrzywinski: Anything, I guess, more specific on where they're saying, "Hey, we did this before, but now we've rethought that initiative." Anything, I guess, more tangible on an action?
Albert Nahmad: Well, I keep saying the focus, there -- they don't have to worry about dividends going up to the parent, United Technologies, that can be more focused than they are. And they assure us in investing in their own industry and their own company. It's all great news. There's nothing negative about what's occurred. And we very much like the leadership.
Operator: The next question today comes from Brett Linzey of Vertical Research Partners.
Brett Linzey: Hope you're well. Just a question on pricing. I guess, from your vantage point, are you seeing any signs of deflationary pressures across some of your markets as we've shifted in April here, be it on the equipment side or other products, which I think you typically do see at first in?
Albert Nahmad: Paul?
Paul Johnston: No, we're not seeing any deflation. In fact, we've had some of our commodity pricing actually starting to move back up again. So no, no deflation.
Brett Linzey: Okay. And I guess I'll ask the April question. Maybe just an update on the trend so far. You did mention in the release it decelerated. But just any sense on the magnitude? And then if you could maybe just drill down into the regional or state-by-state view. Any particular regions that stand out strong or weak?
Albert Nahmad: Well, in terms of April, we don't like to get ahead of ourselves because once again, the most important thing is that the first quarter is over. That's always -- the fourth and first quarter always don't tell you much. But April is beginning of the second quarter, and that's about the same time that people were asked to stay home or people were shut in to their homes. Now that we sense -- we sensed at the beginning of April some softness due to the -- that transition that was going on. People didn't want any strangers in their house or contractors they wouldn't know. They just didn't want much of that. However, I would say, we think, since the beginning of April, it stabilized. That was a quickie that happened in the beginning of first couple of weeks of April. And we believe, we believe that everything is stabilized now.
Operator: The next question today comes from Stephen Volkmann of Jefferies.
Stephen Volkmann: A couple of sort of recession questions for you since we seem to be heading into one. I think you alluded earlier, maybe it was Paul, to the fact that you might see some mix shift toward parts and away from units. Is that something you've seen historically? And should we expect a little but of margin improvement because of that?
Albert Nahmad: Well, I can say this unequivocally that last time there was a downturn, the product mix went a little bit more towards parts than equipment because they -- consumers wanted to repair more than they want to spend money for new equipment. What were the results to our company when that occurred? Well, first of all, our working capital came down. And second of all, our cash flow -- cash flow jumped, enormous cash flow gains. So everything has a benefit. If there is a slowdown or more of a conversion for new equipment to repairs and parts and that sort of thing, sure, it may slow sales. But from a perspective of cash flow, it will be very strong. Do we see any evidence of that now? I don't think so. It's too early. It's just beginning, the -- it's just beginning to get into an air conditioning season.
Stephen Volkmann: Okay. Great. You sort of predicted my follow-on, Al. Are you guys planning to reduce your inventories already? Or is it too early to make that decision?
Albert Nahmad: Well, we're going into the season now. I wouldn't say we're planning to reduce, but we're certainly -- and I think the question is, well, as if we're talking about how we're handling orders for the future. And we have great software that helps us with that. But basically, we're a decentralized organization. And our regions, people that lead our regions, they influence that question. If they think they need to ramp up with inventory using our tools, they can do that. If they think they'd rather be more conservative, they'll do that. We don't try to determine inventory levels at the corporate level because we think that it's better to make those determinations in the markets that we're in.
Stephen Volkmann: Okay. Fair.
Barry Logan: Al, it's Barry. I just want to add one layer of thought to what you asked earlier about the product mix. And first, replacement parts themselves are under 10% of what we do, just to put that in perspective in terms of the understanding of that question. And what we highlighted in the press release is diversity of products. And so what -- just like any other consumer product, what we see always is mix that can happen within the brands we sell, within the price points we sell, within the entire kind of array of products that we sell when it comes to equipment. And contractors who are at the kitchen table or at least today using our selling platform, maybe not yet at the kitchen table, is offering that variety of price points. And that's what we like about our business a great deal is that diversity is there. There -- I would say, our competitors, in some cases, have more concentration of fewer brands versus the wider array of more brands and those kind of circumstances. So again, when we use that term diversity in the press release, that's part of what we're talking about.
Operator: The next question comes from Ryan Merkel of William Blair & Company.
Ryan Merkel: All right. So first off, just wanted to clarify the comment on April. So it sounded like you saw trends decelerate right at the beginning of April.
Albert Nahmad: Decelerate.
Ryan Merkel: Yes, decelerate. I think, Al, you said kind of stabilized here. Is that just in the last couple of days? Last week? And I know you never want to over-extrapolate a couple of days of sales, but what makes you confident that maybe we could be stabilizing?
Albert Nahmad: Daily sales numbers. And I would say, over the last few days.
Ryan Merkel: Okay, okay. I guess we'll see. And then the 5% resi equipment growth, that's what I would have expected, but then it was 2% to the total company. So it implies some big declines in some of the other areas. Can you just expand on that?
Albert Nahmad: Well, I'll let Barry add to it. But we said in our statements earlier, Canada, Mexico and exports in Latin America compared to last year were much softer. And it's been a soft business, the international business. And it's also the regions that you could -- common sense is that the northeast of the United States is having all the problems that they have been having. It gets softer, at least temporarily. But the rest of our network has been stable throughout the period.
Barry Logan: Yes, I would not add much to that. It is -- the international markets, revenues were down, profits were down. There was dilution in the quarter for international business. Last year was particularly strong in those markets. So part of that is a comparison. And yes, that's probably -- and those things obviously stand out more in what would be the smallest part of our year, which is the first quarter in terms of their impact on EPS and so on. But as Al suggested, where the sun is out and the earth is warm, as you go south, we're seeing, again, stability in the business.
Operator: The next question comes from David Manthey of Baird.
David Manthey: So first question, what part of your business goes away under social distancing? I'm thinking if my AC stopped working down here in mid-80s Florida today, and I knew for a fact that my contractor had COVID, I'd probably still take my chances. I'm just trying to understand.
Albert Nahmad: I hope you don't.
David Manthey: Conceptually. I mean, how do you miss sales if air conditioners are doing what they're doing? I mean, where is the gap in someone saying, "I'm just going to wait" or "I'm not going to have that service."
Albert Nahmad: Well, that's a very valid issue. I don't think that people will do that because you don't want to be uncomfortable when the heat comes, this -- the hot weather. But if it's mild, you'll postpone. The weather is mild. Because you don't want a stranger in your home. I'm guessing these things. I don't have data to reflect that. But I think as the temperature warms up, the choice will be less and less. Consumers will have to get their systems working, either upgraded or fix the problem that they have.
David Manthey: Right. Okay. That makes sense.
Albert Nahmad: It's a pretty necessary industry, as you know. In fact, as you've heard me say, we're considered an essential industry. And good reasons. You've got to have the cooling, and you've got to have the heating.
David Manthey: Right. Yes, I definitely consider you essential. Second question, in -- when we look back to '08, '09, it was obviously a housing-driven recession. It's probably not a good template. But if you go back to '01 and '02, the housing market barely paused during that time frame. And your revenues, I think, were down 5% to 7% in that time frame. Is that not a reasonable expectation? Like you're saying here, Al, there's clearly, if an air conditioner goes out, someone is going to either repair or replace it. There's this trade-down effect. And I think that's what leads to those kind of declines as people repairing rather than replacing lower ticket size and/or trading to the good from the better and best. Can you talk a little bit about that as sort of an initial outlook, just to say, mid-single? Is that kind of what we should be thinking about?
Albert Nahmad: You mean in terms of revenue growth?
David Manthey: Yes.
Albert Nahmad: Oh, gosh, we don't want to do that. It's too early, much too early. I don't want to guess. I'd rather report something that we're a little more certain of. But I do know that we're so strong financially that we have an edge over our competition, and our technology gives us an edge in our -- against our competition. So we're feeling pretty good about ourselves. And I certainly hope that the M&A program will be used in order to help some distributors be part of us. So I always see opportunity with an industry that might slow down. I'm not saying it will, but I'm saying if it does, we'll see opportunity there.
Operator: The next question comes from Steve Tusa of JPMorgan.
Steve Tusa: So I guess you guys aren't going to comment really on your revenues, but like Lennox was out talking about a 15% decline in the industry. I mean, any broad color on kind of what you think the industry is going to do this year, not really talking about you guys?
Albert Nahmad: See, I'm not that smart. Paul, do you want to give it a shot?
Paul Johnston: Boy, if you're not that smart, I'm certainly not that smart. Steve, we represent so many different products, we represent so many different OEMs and constantly polling them for what their outlooks are and that type of thing. And frankly, there's no consensus that I've been able to locate out there to guide us in our direction. So we're with the market. We think we can outpace the market and outgrow the markets. So whatever that market is, we think we're going to outperform it. That's about as close as I can come to, I guess, on what's going to happen.
Steve Tusa: Right, right. Okay. On the margin side, how are you guys thinking about gross margins kind of over the course, assuming -- I don't know, if you assume kind of trends that are in line with the first quarter, I guess, or like a flat kind of revenue dynamic? Like where would you -- how do we think about gross margin going forward here?
Albert Nahmad: I understand why you want to know that. But again, that's hard to predict. But nevertheless, let me tell Mr. Logan, he should try to answer that.
Barry Logan: Sure. Well, again, with the concentration in equipment and the OEMs having a fairly close watch over their own pricing and margin, I don't think there's any disruption or any real strangeness or weirdness that we would expect to come from that. The price increases a couple of years ago, obviously, did disrupt what ended up being at margins, and we're kind of climbing through that and working with our OEMs through that as well still. But we don't expect anything dramatic or epic or disruptive or necessarily helpful either as we're in this kind of arena. So I think you see some progress in terms of this quarter versus the sequential change of last quarter and the prior one. Again, we'll get it this season, and we'll know more, but I don't expect any disruption to price.
Steve Tusa: I guess you guys had guided for up gross margins last quarter. I mean, is that -- did we kind of read into that too much? Is that still kind of on the board? Or maybe I misread that comment?
Albert Nahmad: Oh, gosh, whatever we did last quarter, we weren't -- no pandemic was in view at the time.
Steve Tusa: That's a very, very, very fair comment. Just one last one. I know you guys don't touch commercial a ton. But what are you seeing there in the last several weeks on the commercial unitary front or VRF front?
Albert Nahmad: Paul? Well, obviously, it's for sure.
Paul Johnston: Yes, it's very heavily skewed towards internationally and the Northeast for us on the VRF and the commercial applied products. It's -- all those projects and jobs have basically been stopped. So perhaps, we'll have a little backlog there. On the unitary side, unitary has been weak. And it's going to probably be a little bit longer term before that comes up. But once again, when you take commercial in total, it's a small percent of our total business.
Steve Tusa: Okay. Yes, yes. Just you guys always have a good window and hear what's going on out there. So I thought I'd ask. All right. Thanks a lot, and best of luck to you guys executing through whatever comes in the next couple of months here.
Operator: The next question comes from Jeff Hammond of KeyBanc Capital Markets.
Jeffrey Hammond: So just on, I guess, maybe focusing on the 1Q margins, which were down. I know it's a shoulder quarter. Can you just give some better color? Because I think you gave on a same-store and ex the investments, margins were still down. I'm just trying to understand, was it mix? Was it some other added SG&A costs, et cetera?
Albert Nahmad: I'm not sure I understood. But Barry, you're the numbers guy, what do you got?
Barry Logan: Sure. Well, on the gross margin, Jeff, again, we do operate with higher gross margins internationally and in the Northeast. So there's some algebra there that did impact the performance in the quarter. That accounts for some of the profitability dropping down to the EBIT line as well. On SG&A, there were investments made in the business to start the season as we get into the year. And that SG&A does stand out in a, I think, in a shoulder quarter like this. Some technology investments, as we highlighted, is in that number as well. And so it goes into the mix of how our leadership is managing their local markets. And SG&A will play out very differently and very sensitively to what's going on in local markets. But to start the year, just some of these numbers show up more materially in terms of their impact in the shoulder quarters.
Albert Nahmad: But I keep trying to communicate a picture here that financial strength that we have, little to no -- very little debt, allows us to move with the market wherever it goes. If it gets softer, we use all the attributes that we have. We've talked about diversity of products. We've talked about technology that allows for speedier service. We talked about our ability to finance the distributor -- I'm sorry, the contractor and the homeowner. All these things come into place. I'm very, very happy in our position now. I'm so glad we have very little debt. And I just think that, wherever the markets go, we're just going to be probably the stronger distributor out there.
Aaron Nahmad: This is A.J. I have to say that in my own words, I appreciate the micro questions on Q1 and April, and those are very hard to see forward. But we have to remember the macro picture of Watsco. This is a long-term company. And we have tremendous leadership at the local and the regional level. And in the face of this pandemic, we're operating from a position of strength, from financial strength, from leadership strength, from market strength, in the words we used earlier, we've got our heads down. Every part of the business and everybody in the business is focused on not surviving this pandemic, but how we're going to thrive and how we're going to be a better company and how we're going to take market share. And the early results of what's in play and the expectations of what -- how we'll operate and what we'll look like on the outside of this relative to our competitors is exciting, and it makes me very proud. So you've heard some examples with the contactless pickup. I mean that happened in about 48 hours on a manual basis. In the next week or so, that will be digitized throughout our apps facing the contractors and apps facing our warehouse guys and teams. And that will transform how we operate, and the customers love it. And this is just one example. So just there's a lot of exciting energy going on about processes, about leveraging our technology and our data in ways that we never even thought to explore before or put more focus, more heads down. And we're going to thrive. This is awkward to say maybe, but it's sort of an exciting time from that perspective, if you think of the long term.
Jeffrey Hammond: Okay. Great. And then just -- I guess, if we get into it, I mean, it sounds like you're seeing some stabilization into April. But if we get into a period of 5% to 10% declines this settling season because the economy is taking a big hit, unemployment's high, et cetera. Do you guys anticipate just continuing to invest through that decline period? Are there actions...
Albert Nahmad: Absolutely. No, absolutely. We will. That's the nature of our thinking because our financial strength allows us to invest during downturns as well as steady markets. We are long-term-orientated, and we have the ability to invest, and we'll continue to invest. We're relatively a $5 billion revenues in that side. It's a $40 billion market. We're very ambitious. And in order to get some growth, you've got to continue investing, and you've got to continue improving the customer experience, things that we're really getting good at. So we're not going to stop the investing.
Paul Johnston: And Jeff, we reminded everyone in the press release that in 2009, that is when we made our largest investments in our careers. And it wasn't just buying a company or doing the joint venture. It was adding capital and adding branches, adding people, adding an entire renaissance to a business in the middle of the recession last time. And dividends were increasing, and cash flow was increasing. So again, it's a script that we know and can play out.
Jeffrey Hammond: Just a final one on the mobile. I just want to -- because it looks like about 8% of your contractors use the mobile app, but like 36% of sales are e-commerce. Is that just still a lion's share of the e-commerce is done through computer-based online ordering? Or I just want to understand like the difference between mobile app usage and ordering on there versus just kind of the broader e-commerce comment?
Albert Nahmad: Well, I don't know the data that -- where you got the data, but we've expressed that data in the press release. Pick it up from there.
Jeffrey Hammond: No, no. I have it. That's what I'm pulling out of the press release.
Aaron Nahmad: Yes. You're looking at weekly active users on the mobile app. I mean, if you look at monthly or quarterly, it's a much larger portion of our customer base. Those numbers double. I mean, last year, for example, in 2019, which is a number I have off the top of my head, I think we had about 110,000 unique users of our mobile app. So it's a much bigger portion than your reference. But yes, I mean the -- and the mobile app, by the way, is focused on technicians in the field, right? The idea is that when a technician shows up at your home, he can very quickly understand what system you have, all the components, and they understand which part do you need, see those inventory in our locations, get every document ever written about that part and that piece of equipment, check warranty, process warranty or the product, have it delivered. I mean that's very much a technician tool and an extension of e-commerce, but it goes well beyond just the e-commerce capabilities.
Jeffrey Hammond: Okay. So the mobile app usage is much higher than what you would have indicated in the press release? That's just a point in time number or...
Aaron Nahmad: Well, it's just the period that you're looking at. So the number in the press release is weekly unique users, average weekly unique users. And the number I gave you before was unique users for an entire year in 2019, and that number is increased in 2020 -- or the run rate has increased in 2020.
Operator: The next question comes from Chris Dankert of Longbow Research.
Christopher Dankert: So we -- the Credit for Comfort numbers, utilization is up quite a bit there. Obviously, Watsco is in a very strong liquidity position. But how are your customers feeling right now? Is there any stress there? Just any comment on credit, yes.
Albert Nahmad: That's a great question. Yes. They're feeling it, naturally, but that's where we come in. We can help them. We can give them dating programs so that they can use our money to develop their business. And we can help their consumers the same way. It's -- it gets rough for customer -- our contractors. But as we continue to say, we -- that's when we shine, when things get tougher. We use our financial strength, which some of our competitors don't have to use. Can you add to that, Barry, Paul or A.J.?
Aaron Nahmad: Yes. This is A.J. Let me take a stab, Barry. I mean, we have probably about 2,000 Watsco associates calling on contractors every day over the last several weeks, with the first question being, how can we help you? Is it access to product? Is it access to -- is it longer credit terms? Is it -- whatever it is. And we are getting interactions with customers that we do business with often and customers that we don't do business with often. And there's a lot of follow-up activity. There's a lot of goodwill being earned. There's a lot of more exposure to some customers that we don't -- or contractors in the market that we don't touch every day that are now understanding who we are, what we're capable of and how interested we are in helping them grow their business. And these contractors have a long memory. So even in periods, especially in periods when they might have some difficulty in their markets or with their customers, when we are there and we're providing a helping hand, it's not only helpful now, but I believe it will, again, potentially change the paradigm going forward. Go ahead, Barry.
Barry Logan: Yes. And Chris, you mentioned about Credit for Comfort. And just to be very specific about what that is, this year, there'll be about 7 million replacement systems sold in the U.S. and only a very small fraction of them can a contractor sit with someone and offer credit to help that homeowner acquire that system and install that system. So consumer credit really has been a laggard in this industry for most of my career. Credit for Comfort is our digital platform that takes all of our product information, takes all of our capabilities as a distributor into the contractor and into the home to help provide consumer credit through different credit companies. We don't provide the actual financing. This is all third-party financing, but bringing in the actual technology into a digital platform that's easy to use that a contractor can use to grow its business. And that's the growth that we're seeing. Because inevitably, two things can happen. Innovation can help the entire equation, and the necessity helps the whole equation. And so part of that customer engagement over the last several weeks is engaging contractors and that potential of this financing platform. That's what Credit for Comfort is.
Christopher Dankert: Got it. Got it. Thanks so much for the color there. Certainly, a market share opportunity to be had. I guess, just one other thing for me. Is there any way to quantify kind of any additional cost to operate some of the shorter-term costs, I assume, in terms of social distancing, additional PPE, that kind of thing? Or can't you really break that out from the SG&A at the moment?
Albert Nahmad: No. Those categories, as you mentioned, don't apply to us. We're not installing anything where our customers are. I don't see any additional information there. Anybody else? Paul?
Paul Johnston: No. No, no. It really hasn't impacted us.
Christopher Dankert: Yes. I just think in the disease, just trying to make sure everyone stays safe. But yes, obviously, that's a smaller impact then, not material. Well, thanks so much, guys. Good luck, and take care.
Operator: The next question comes from Cory Fulton of Gabelli Fund.
Albert Nahmad: Where are you from? What firm are you in?
Cory Fulton: I'm with Gabelli, Mario Gabelli.
Albert Nahmad: Oh, I know that guy. He's a good man.
Cory Fulton: He was sad to miss you when he was in Miami a few weeks ago.
Albert Nahmad: But he met my better half, my son.
Aaron Nahmad: Yes, that was like the most fun 30 minutes of my month.
Cory Fulton: Yes, that would be very fun. Yes, he could ask some very straightforward questions. So guys, just a quick question here. I know you guys made a flurry of acquisitions last year. And typically, when you make those acquisitions, they're a little bit below the normal margin of the overall business. Can you just kind of give an update on where margins for those acquisitions are now and how maybe the new -- or how COVID might impact or prolong them reaching the overall Watsco margin level?
Albert Nahmad: Well, generally speaking, we don't order anything to -- we don't ask them to change their gross profit margin because that's not our business. They have to figure out. Well, I just had a phone interruption. Is that just me? Hello?
Cory Fulton: Yes, we can hear you. We can hear you.
Albert Nahmad: And so it's very difficult for -- in fact, we cannot answer that because those 3 companies are very independent. And we want them to be very independent, and we want them to continue very entrepreneurial. And now if they need us to improve their margins, they'll use us. But -- so I cannot answer that question.
Cory Fulton: Okay. And I think that maybe an answer to my second question, which is -- I know it's obviously a decentralized business model. You allow your regional managers to make decisions at the market level. But anything in terms of what you're seeing or potentially seeing from maybe a cost-cutting perspective? Anything impacting the business in terms of layoffs or furloughs or anything like that, that so far, maybe giving you an indication of something that might take place throughout the year?
Albert Nahmad: You're talking about these three companies that we acquired or in general?
Cory Fulton: No, no, just overall business level for this question.
Albert Nahmad: Barry?
Barry Logan: Again, as you said perfectly, it is a decentralized model. And that local knowledge and that local intimacy with the market is going to play out, and SG&A is going to be a component of that leader's daily life. And -- but as A.J. said, so is growth. How can we engage more customers? How can we grow our business? How can we add more technology? How can we do more training? All that is going on at the same time. So it is a dance. It's a short-term dance with managing the business and a long-term hustle to grow share and to invest and get more business out of this. And both are going on in the local markets. So there's no one answer. There's no big paint brush here at all. It's all being dissected and led in local markets.
Aaron Nahmad: Yes, and I'll just speak to this. It's A.J. I'll just -- I'll give you just an anecdote to your first question as well. So those 3 businesses we acquired last year are in the Northeast and are -- which is the epicenter of this pandemic. And the benefit that they are realizing, which I pay witness to, is the ability to just communicate with each other. These are business leaders that have very successful businesses that have been doing what they do for a very long time, but they are connecting at least weekly and sharing ideas and hearing what each other are doing and seeing if there's ways to help each other or share each other's resources or what have you. And again, just being a fly on the wall in those conversations, I know how valuable those are for those guys and how much of a -- how helpful it is to be part of a bigger company like Watsco to have that sort of resource.
Cory Fulton: Okay. I appreciate the color. That's it for me. And Al and A.J., I'll make sure to tell Mario you guys said hello.
Operator: [Operator Instructions]. The next question comes from Blake Hirschman of Stephens.
Blake Hirschman: First one for me. Could you give us any rough sense as to what kind of top line declines or just really what kind of combination of different factors would have to occur for the dividend to be at any risk of potentially being cut?
Albert Nahmad: Oh, gosh. I haven't got a clue. Barry, go ahead. I mean we're in such financial strength that if this slows down, our cash flow increases. It doesn't decrease. So...
Barry Logan: Yes. I mean, I'll give you a textbook answer, then I'll give you some track record answer. And I think both are -- both can be given the way that you wish it to. But Al's right. This is a business where if revenues go down, working capital is -- responds within a few days. And we mean we're placing orders with OEMs every day. We're collecting money every day. And our working capital essentially gets adjusted every day. So in a short period of time, working capital gets produced and cash gets put in the bank and is available for use, either in paying off debt. And today, for example, our debt is under $100 million. So the idea of...
Albert Nahmad: $85 million.
Barry Logan: That's right. The idea of having a bit of an ATM machine in a softer environment is both, again, comforting, but also helps answer the question of having cash available to sustain a dividend and keep people very involved and comfortable in the story.  The track record is in going back to 2008, '09, '10. Again, we were seeing three things: epic knives falling in market in terms of new construction coming out; an immense investment being made in the Carrier joint venture, second thing; and third thing, our cash flow and dividend went up about 60% during those three years. Those are pretty epic bullet points to answer your question. So what -- does it answer your question for the future? We'll see, but that's the track record. And I think that's the good mechanics to what goes on in this kind of condition.
Blake Hirschman: Got it. And then I know a lot's changed since last call, but I believe there was like some ongoing OEM price cost negotiations. Did everything that's happened, the pandemic and stuff, has that impacted those ongoing talks? Or is the margin outlook and stuff just more based on the uncertainty around what happens with the market?
Albert Nahmad: Our OEMs are very cooperative. We work as a team. And it's in their best interest also to keep this competitive. And I certainly feel they're doing that. And it's just a very strong relationship. We are generally, every -- I think we have 1,000 vendors, and I'm guessing, but I think we're the largest customer of 1,000 vendors.
Barry Logan: Yes. Well, I would have time and say in the last 59 minutes since this call started, we've been pricing and competitiveness and reaction to marketplace dynamics has gone on the last 59 minutes, Blake. So there's no end to that. And in this environment, again, it -- we think we have more data, technology, insight, corroborating evidence across markets of what pricing and margins should be. And it's every minute of the day grind.
Paul Johnston: We have been -- this is Paul. We end up working with our vendors on a daily basis to make sure that we've got a steady flow of product coming in, that there aren't any interruptions on the product that we have. There -- a change in the market conditions is reacted to almost immediately. So we have a whole team of people at the operating units who are working those relationships not only at the OEM level, but also at the vendor level.
Operator: As there are no further questions, this concludes our question-and-answer session. I would like to turn the conference back over to Albert Nahmad for any closing remarks.
Albert Nahmad: Yes. Thank you very much. I want to say again that I'm sure hoping that all of you are safe and stay healthy, and let's be together as Americans during this pandemic and come out stronger than when this started. I certainly hope so. Thank you again for your interest in our company. Bye now.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.